Operator: Welcome to the Kohl's Q4 Year End 2015 Earnings Release Conference Call. Certain statements made on this call, including projected financial results, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Kohl's intends forward-looking terminology such as believes, expects, may, will, should, anticipates, plans or similar expressions to identify forward-looking statements. Such statements are subject to certain risks and uncertainties which could cause Kohl's actual results to differ materially from those projected in such forward-looking statements. Such risks and uncertainties include, but are not limited to, those that are described in Item 1A in Kohl's most recent Annual Report on Form 10-K and as may be supplemented from time to time in Kohl's other filings with the SEC, all of which are expressly incorporated herein by reference. Also, please note that the replays of this recording will not be updated, so if you are listening after February 25, 2016, it is possible that the information discussed is no longer current. At this time, all the participant phone lines are in a listen-only mode. Later, we'll conduct a question-and-answer session. As a reminder, today's conference is being recorded. I would now like to turn the conference over to our host, Mr. Wes McDonald, Chief Financial Officer of Kohl's Department Stores. Please go ahead.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Thank you. Good morning. With me today is Kevin Mansell, our Chairman, CEO and President. I'll start today's call by walking through our operational results. Kevin then will provide some more details on our Greatness Agenda initiatives, and then we'll open up the call to your questions. As we announced earlier this month, comp sales increased 40 basis points for the quarter. Though we were pleased to report our fifth consecutive quarter of positive comps, sales were volatile during the quarter and were below our expectations. Holiday sales, which include the weeks between Thanksgiving and Christmas, increased 4% and store traffic was 400 basis points better than industry average. This strength, however, was substantially offset by softness in early November and in January when demand for cold weather goods was especially low. For the year, comp sales increased 70 basis points. Looking at the metrics of the comp, the components of the comp for the 40 basis point increase in the fourth quarter were as follows. Transactions per store increased 20 basis points for the quarter. Average transaction value also increased 20 basis points comprised of an average unit retail increase of 30 basis points, with a drop in units per transaction of 10 basis points. The components of the 70 basis comp increase for fiscal 2015 were as follows. Transactions per store decreased 20 basis points for the year. Average transaction value increased 90 basis points comprised of an average unit retail increase of 130 basis points, with a drop in units per transaction of 40 basis points. From a line of business perspective, Footwear and Home were the strongest categories for both the quarter and the year. Accessories was the weakest category in both periods. On a regional basis, the West region was the strongest for both the quarter and the year, while the Mid-Atlantic and South Central were the most difficult regions. Gross margin was challenging for the quarter, down approximately 80 basis points. The decrease was driven by higher promotional markdowns during the holiday season as well as an increase in shipping cost versus last year, driven by a 30% increase in digital orders. The effect of the increased penetration of the national brand was as expected as penetration grew to 58% for the quarter and 52% in the year. The growth in penetration was similar for both the quarter and the year. Gross margin was flat for the first three quarters of the year. However, gross margin for the year decreased 27 basis points to 36.1% of sales due to the fourth quarter performance, which was lower than our guidance for the year of flat to up 20 basis points. SG&A dollars increased $60 million to $1.3 billion for the quarter. As a percentage of sales, SG&A deleveraged 80 basis points. As expected, marketing expenses deleveraged as we invested heavily to drive sales. Many of those expenditures will not be repeated in 2016. Store payroll also deleveraged due to ongoing wage pressure and omnichannel support and ship-from-store and buy online, pick up in store. During the fourth quarter, almost 30% of our digital sales units were either shipped from or picked up in our stores, more than two times last year's penetration rate. EFCs and IT also deleveraged. Store expenses, distribution centers for our brick-and-mortar stores, corporate and credit, all leveraged. For the year, SG&A expenses were $4.5 billion, an increase of 2.3% over 2014, which was consistent with our guidance of a 1.5% to 2.5% increase. As a percentage of sales, SG&A deleveraged 30 basis points. Store payroll, corporate, e-commerce fulfillment centers and IT deleveraged for the year, while marketing, credit and distribution centers for our brick-and-mortar stores all leveraged. Depreciation expense was $239 million for the quarter. For the year, depreciation was $934 million, generally in line with our guidance of $940 million. Depreciation increased in both periods, primarily due to higher IT amortization. Interest expense decreased $5 million to $79 million for the quarter and decreased $13 million to $327 million for the year. As a reminder, our original guidance was $335 million. The decreases are due to favorable interest rates achieved during our $1.1 billion debt refinancing earlier in the year. Our income tax rate was 35.9% for the quarter and 36.3% for the year. The tax rate increased 60 basis points during both periods as the prior-year periods included some favorable tax audit settlements. This was versus our guidance of 37% for the fiscal year. For the quarter, net income was $296 million and diluted earnings per share were $1.58. Excluding $169 million of debt extinguishment losses that were recorded earlier in the year, net income was $781 million for the year and diluted EPS was $4.01. We recently closed two stores, one in Texas and the other in California. We currently operate 1,164 stores. Gross square footage is 100.4 million square feet, and selling square footage is 83.8 million square feet. Moving on to the balance sheet, we ended the quarter with $707 million of cash and cash equivalents, approximately half of last year's balance. Higher inventory, lower payables and payment of the debt premium in cash contributed to the decrease. Inventory dollars per store were 5.7% higher than year-end 2014. Units per store were up 5%, higher than the end of last year. The increases are primarily within national brands, which are up more than 10% over last year. We expect inventory to be down low single digits at the end of the first quarter and down mid single digits for the remainder of the year. AP as a percent of inventory decreased 865 basis points to 31%. Almost half of the decrease is due to the anniversary of last year's port strike. Lower year-over-year January receipts and higher inventory levels also contributed to the decrease. Our capital expenditures were $690 million for the year, approximately $100 million lower than our original expectations. IT spending was approximately $300 million, which was $50 million lower than expectations as we are buying our registers closer to installing our new point-of-sale system. Store experience and refresh spending, which includes beauty, remodels, new stores and general store upkeep, was $250 million, about $50 million lower than our original plans as we reduced the number of stores we are remodeling and revised our in-store merchandising plans. Base capital spending of approximately $150 million was generally consistent with our original plans. We expect capital expenditures of $825 million in 2016, approximately $135 million higher than 2015. About $60 million of the increase was related to a timing shift in IT mainly due to our register purchase for that new point-of-sale system this year. In addition, we are accelerating the construction of a fifth e-commerce fulfillment center with construction beginning in 2016 with the goal to open in time for fall 2017. CapEx is expected to include $375 million for IT spending, $250 million for store strategies, including new stores, remodels, beauty and easy experience initiatives and new brand rollouts, and $200 million in base capital, including investment in the e-fulfillment center. Weighted average diluted shares were 187 million for the quarter and 195 million for the year. During the quarter, we repurchased 4.5 million shares of our stock, bringing our total for the year to 17.4 million shares repurchased. We ended the year with 187 million shares of stock outstanding. On Wednesday, our board approved an 11% increase in our quarterly dividend. The $0.50 dividend is payable on March 23 to shareholders of record at the close of business on March 9. I'll now turn it over to Kevin who will provide additional insights on our results.
Kevin Mansell - Chairman, President & Chief Executive Officer: Thanks, Wes. I want to take a minute and make a few comments regarding 2015 (10:57). This past 2015 (11:02) results came on top of very strong holiday (11:04) and were our fifth consecutive quarter of positive sales increases since the launch of the Greatness Agenda. During the most competitive period between Thanksgiving and Christmas, we achieved a 4% sales increase, with customers definitely choosing Kohl's. It's clear to us that the strategic framework of the Greatness Agenda is working, and we're making progress towards our goal of being the most engaging retailer in America. We've seen great success in many of the major initiatives engineered under our plan and are focused on product initiatives. We've successfully grown the depth and breadth of our national brand portfolio and have seen double-digit increases in sales of most national brands. We've put our stake in the ground to be the destination for Active and Wellness and have dramatically increased our share of this growing category, positioning us for success in the future. We made five big investments for holiday: Active and Wellness, Premium Electronics, Beauty, Licensed Entertainment and Team Apparel. And in total, we achieved our plan for the fourth quarter for these investments and achieved a double-digit sales increase combined. And finally, our localization efforts are proving out, and 2016 will be the year that all of our planning efforts for unique assortments by store will come to life in 90% of our store portfolio. This means we'll be both improving the in-store experience for the customer and very importantly, better managing our inventory across the company. In our focus around omnichannel initiatives, we're seeing the results on our multi-year, multi-billion-dollar investment in digital technology, with online demand driving sales. Online-generated demand was up 25% for the year and 30% for the fourth quarter. Just as importantly, much of that demand was fulfilled with best-in-class ship-from-store enablement and buy online, pick up in store capability. Both of these capabilities will create more opportunity for future growth, provide a greater customer experience, and leverage our store portfolio in a meaningful way. Our Kohl's app was used by more than 11 million customers and growing. And new mobile in-store capabilities, including mobile pay, were successful as well. Our digital and mobile-centric Yes2You Rewards Program has quickly become an industry-leading loyalty program, and we now have the opportunity to cultivate that membership base and increase our share of wallet from them by giving them more relevant and more personal experiences to draw them into the brand and back into the store. Moving on to looking forward. I want to provide an update on the Greatness Agenda, organization, and stores. While I'm happy with the progress we've made on many of our key initiatives, we were very clear on the expected outcomes of the Greatness Agenda. By 2017, we had targeted three outcomes: 90th percentile on associate engagement, best-in-class customer engagement, and $21 billion in sales. I'm extremely proud of the progress that we've made on the first two outcomes, and we are right where we need to be to achieving those two goals. But for many reasons, including a difficult macroeconomic and retail environment, it's unlikely we'll achieve our sales goal on the timeline we had originally set, though I do believe we'll achieve that goal within a short time after. It's clear, though, that we need to move at greater speed and agility, accelerate plan changes in our business model more quickly, and focus our resources on the most productive assets and projects while moving away from those that are not delivering results. We need to embrace the evolving behaviors of our customers and take actions to support the long-term health and success of our business. We began those efforts recently by realigning our organization and leadership in buying and planning, store environment and design, and digital and infrastructure technology. We changed the scope of some of our leaders and teams, reorganized some functions, and brought key teams under shared leaders. The purpose of those changes was to enable efficiency and decision-making, leverage our biggest asset, our inventory, more effectively, and deploy capital resources more clearly around investments that drive both sales and profitability. Most importantly, they were targeted to increase our ability to respond with more speed to our customer. As you likely read in our press release this morning, we're announcing several updates to our store portfolio and omnichannel strategy. We will be piloting seven, new small format stores, approximately 35,000 square foot in size, that will open this year, which will help both inform future store size and rationalization and identify omnichannel opportunities as well. We'll also continue our Off-Aisle pilot with two new stores and open 12 Fila stores to gauge the possibilities in the outlet space. In addition, we'll close 18 underperforming stores which represent less than 1% of our total sales. We expect to announce the specific store locations by the end of March. The closures are expected to generate annual SG&A savings of approximately $45 million and annual depreciation savings of approximately $10 million. As a result of both the store closures and the organizational realignment, we expect to incur approximately $150 million to $170 million in charges that will be recognized in the first quarter and second quarter of 2016. I'm very happy to say that every affected Kohl's store associate will be offered the opportunity to work in a nearby Kohl's store location, or if they prefer, a competitive severance package. These organizational and store changes are a good example of how we intend to capture more expense savings, an effort which will be an important part of how we reach our sales goals and increase profitability at the same time. While I believe most investors give us high marks for expense management, we know we need to do better. Traditionally, our goal has been to leverage our expenses assuming we achieve a 2% sales increase. And despite the fact that we're experiencing significant wage pressure in our stores and intend to continue to invest in our omnichannel initiatives, we're moving to lower our leverage point to a 1.5% comparable sales increase. The blueprint for that effort will be a plan to reimagine all of our decision-making processes and better utilize our previous investment in technology to do so. I've challenged all of our teams to explore ways that we'll find more efficiency in our work and focus on speed in reaching our goals. Although we've made progress in both our marketing spend and speed, we believe there are opportunities in that area of our cost structure as part of this effort as well. Our associates have wholeheartedly embraced the Greatness Agenda and we've seen an evolution in the way we work together. By empowering our teams against the goal of greater speed and giving them the space they need to work in in a more streamlined way, I believe we'll continue to develop ways to do more with less, something Kohl's has always been known for. The other area of opportunity I want to discuss is the work being done around lowering the level of our inventory. This is especially critical in allowing our stores to be more efficient, lower our costs, and deliver better customer experience at the same time. Since 2011, our average inventory per store has grown approximately 15%. While some of this was funded to add inventory for the digital portion of our business and to aid in our national brand initiatives, we're committed to manage it more intelligently. Key areas of focus will be around effective implementation of our localization initiative, leveraging technology to increase the percentage of inventory shipped from stores to fulfill online demand or online demand, picked up in store, and gaining efficiency in buying and planning through our recent reorganization. I expect that we can reduce our inventory per store by 10% by 2017. In the more near term, we expect to enter this fall season with inventory per store down mid single digits. Finally, I also want to ensure you that while we're committed to investing in the long-term health of our business, we'll also continue to be good stewards of our capital. As you saw in our press release, our board has approved an 11% increase in our dividend and we intend to continue our share buyback plan. I'll now turn it back to Wes to give you our guidance for fiscal 2016.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Thanks, Kevin. We would expect earnings per diluted share of $4.05 to $4.25 for fiscal 2016. The guidance is based upon the following assumptions: Comp sales of flat to up 1%; total sales down 50 basis points to up 50 basis points. This includes the effect of the lost sales from the closed stores in 2016. However, we would expect to retain some of these sales in nearby stores and through the digital channel. Gross margin rate performance of flat to up 20 basis points. We would expect to have significant pressure in the first quarter of approximately 150 basis points drop versus last year as we continue to aggressively clear excess merchandise. We would expect to see improvement in each of the remaining quarters as our inventory levels drop below last year and become sequentially better throughout the year, with the biggest improvement in the fourth quarter of 2016. SG&A dollar increase of 1% to 2%. Our expectations for first quarter SG&A dollar growth would be 3% to 4%, as we've shifted the timing of our advertising expenses and it's more weighted to the first quarter this year. Depreciation expense of $940 million. The SG&A and depreciation guidance includes the partial year savings from the store closures in 2016. Interest expense of $310 million, tax rate of 37%. This guidance also assumes share repurchases of $600 million at an average price of $50 per share. We would expect lease costs and PP&E write-offs related to store closures and severance associated with the store closures and corporate reorganization to be approximately $150 million to $170 million, with $55 million to $65 million of this charge included in Q1. The earnings guidance I just gave excludes any of this impact, as these are just estimates at this time. And with that, we'll open the call to questions.
Operator: Introducing Lorraine Hutchinson of Bank of America Merrill Lynch. Please go ahead.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you. Good morning. I was hoping to get an update on some of the various facets of your sales growth program. So cosmetics, any type of update on performance in the stores that that's in, and also loyalty program metrics and how that impacted the fourth quarter?
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: On the Beauty, it's still continuing to see about a 200 basis point lift total store in the stores that we're rolling it out into. We'll complete that in the spring. We'll have all the stores done by the end of the second quarter, a little earlier than we did this year. So we feel very good about that. We're also saving money on a lot of the investment in the stores. We've cut the investment about in half because we saw the same lift in the modified, little bit less expensive version as we did in the earlier version. From a loyalty perspective, we really anniversaried that in October. We didn't expect to see any lift when we built the goal we shared with you guys on October of 2014. We didn't really count on any lift from that. They continue to spend a lot more money than non-loyalty members. Obviously, that's self-selecting, but even in like-for-like, we're still seeing a lift. So we feel very good about the loyalty program. The focus really in 2016 is to move them along the value chain, so try to get them to spend more money at Kohl's as loyalty members. And then we're working behind the scenes as we roll out our new point-of-sale system in the fall to do a better job of being able to prescreen those folks behind the scenes to pre-approve them for a Kohl's credit card and explain the great additional value they get with that. So that'll be more of the focus as we move into 2016 and 2017, not so much trying to sign up more loyalty members, although that's certainly a goal, but trying to move them into being more loyal customers either through spending more on loyalty or eventually moving them to a Kohl's credit card customer.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you.
Operator: Our next question comes from the line of Matthew Boss of JPMorgan. Please go ahead.
Matthew Robert Boss - JPMorgan Securities LLC: Hey. Good morning, guys. So two questions. The first is, I guess as we think about the delta between your holiday comps which you said were up 4% and then the reversal that we saw in January, which I think you said was more weather-related, I guess, what comp are you embedding for the first quarter, and have you seen any change post all of this January fray?
Kevin Mansell - Chairman, President & Chief Executive Officer: I think from a sales perspective, I would expect that the first quarter sales are pretty similar to the guidance we gave for the year. I don't really see any big change there. Probably the more noticeable difference that Wes touched on in the guidance review in the first quarter is we'll continue to have pretty significant merchandise margin pressure as we liquidate our heavier inventories coming out of the holiday season. That's really the big, big difference.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, I wouldn't see a lot of volatility in sales across the quarters as we move throughout the year. Let me be clear, the big issue in the fourth quarter was the first three weeks of November. January was a very minor issue. The drop in January was really related all to Winter Storm Jonas. It was about a $20 million hit, and that's basically what we finished down. So the first three weeks of November, as everybody probably mentioned either in their sales updates or in their earnings call, was very difficult to sell any cold weather apparel, and that's where the big drop versus our plan was.
Matthew Robert Boss - JPMorgan Securities LLC: Great. And then just a follow-up. So higher level, in the first chunk of store closings announced today, how do you view the chain today? Do you see additional closings over time? And then, is there anything structurally that you guys think you can execute differently or make changed if you were a private company versus a public company?
Kevin Mansell - Chairman, President & Chief Executive Officer: On the store closures, as you know, Matt, this is probably the first experience we've had closing more multiple number of stores, and it does involve multiple markets as well. And the process that we went through to determine that certainly involved looking at the total sales in the store and the momentum in the sales in the store because that's pretty critical. Is the store treading water or headed down? Second, most importantly probably, the market view. So, we took a really critical look at every single one of our markets and tried to make a determination of where we had significant store overlap in a trade area that we were not generating incremental sales in, and stores that perhaps were being impacted more by our omnichannel initiatives. And obviously, also involved in it is cost review. And so stores that we really didn't see the future potential to generate profitability in because of, let's say, very high rent expense came under review as well. I think that we're going to learn a lot. I mean, I think fundamentally, the answer to the question you had about additional store closures is we really don't know. I think we'll watch what happens with this process through the fall and the holiday season and we'll make another assessment as we come out of this year to make a better determination of what the right portfolio really looks like. Hopefully that answers everything on the store piece. We're disclosing everything we can on that and...
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, we're going to – yeah, we don't – we've closed like five or six stores in the time I've been here. So we need to understand what happens to retain sales in the stores that surround those stores and if there's any effect on e-com as well.
Kevin Mansell - Chairman, President & Chief Executive Officer: On the question on – I think I guess essentially your question is really public versus private. I think that companies are successful in both ways, for sure. And we've been very successful as a public company, but we also, as a public company, have an obligation to continually review all of the options we have to ensure we're maximizing shareholder value. That's not something new, Matt. We've taken that obligation on for many, many years. I've been on the board for more than 15 years, and it's a constant review with advisors to look at do we have the right store portfolio, are we making the right investments, is the capital allocation decision-making that we are employing sound? And are there alternatives to that that we could consider? And so, nothing new is happening there. That's been that way for as long as I've been involved at Kohl's, and I suspect will continue to be that way. So I don't think there's a – it would be better for us to be public, it would be better for us to be private, it's really just a focus on shareholder value as we would make the same determination about share buyback or dividend yield or capital expenditures.
Matthew Robert Boss - JPMorgan Securities LLC: Great. Best of luck.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Thanks, Matt.
Operator: Our next question comes from the line of Bob Drbul of Nomura. Please go ahead.
Bob S. Drbul - Nomura Securities International, Inc.: Good morning.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Good morning.
Kevin Mansell - Chairman, President & Chief Executive Officer: Good morning, Bob.
Bob S. Drbul - Nomura Securities International, Inc.: Kevin, can you talk a little bit more around the marketing expenditures in terms of, you know, you said several things won't be repeated. Like, how much did you spend last year? What's the opportunity for savings versus reinvestments, and what really did you guys learn as you went through the fourth quarter around the marketing plan (31:53)?
Kevin Mansell - Chairman, President & Chief Executive Officer: I mean, for the year, Bob, we spent less in marketing than we did in the prior year. So that's a good thing. To be totally honest with you, we had set a goal at the beginning of last year to have a larger reduction in ad expenditures than we ended up spending. And fundamentally, what happened there is as we got into the fourth quarter and we saw the weak, really, strength or lack of strength in our business and weakness across the board, we made the determination we need to be really aggressive in terms of ensuring that we were maximizing our traffic levels in the store. And so, on the positive side, marketing leveraged and we actually reduced our marketing spend, which is something long term, we intend to continue to do. On the negative side, I think our expectations at the beginning of the year were more optimistic than we ended up. Marketing is definitely a component part of the areas that we're looking to reduce expenses in over the course of the future years, and frankly, the key unlock there we really believe is personalization. I mean, that is going to be the driver, whether it's the application of our Yes2You Reward Loyalty Program to improve, as Wes covered, both total sales with those customers, but also a conversion over time to consider a credit card as a reasonable alternative as well, or it's just making the spend that we have around personalization more effective, regardless of whether that's print or direct mail, or the utilization of our app. So we've set goals for ourselves, and we definitely think that it's an important part. After store payroll, marketing is our single biggest expense, so we know if we're really going to reduce expenses over time, we've got to do a better job of marketing.
Bob S. Drbul - Nomura Securities International, Inc.: And as we look to 2016, on the e-commerce side, where do you see opportunities to become more efficient and improve profitability there? I mean, I think you mentioned shipping costs. But can you just talk a little bit about how you're approaching that as it continues to grow and somewhat pressure the business?
Kevin Mansell - Chairman, President & Chief Executive Officer: Sure. I think two things. First and foremost, one of the big changes that we made this year, we alluded to it in the call, was the decision to reorganize our buying and planning structure and essentially bring together our e-com buying and planning teams with our brick-and-mortar buying and planning teams. And while at the time that we built a separate e-com team, it made sense for us because it was a small, but growing business, today it's a very big business. But most importantly, from a customer's perspective, she sees this through one lens. So we know that we need one view of the customer, and the way to achieve that is through one organization long term. What that means, we think, is that we'll do a better job of inventory management, as a result. So I think one way we're looking at this is inventory management more effectively, and that will include using the inventories we have in our stores to fulfill online orders. That was very successful all year last year, and it peaked in a dramatic way in the fourth quarter. And we suspect that will continue to be a big tool to both improve inventory leverage, but also make us more efficient. The other piece that we know we have to find a better long-term solution to is around fulfillment costs. And that's critical for us. And so we are investing, Wes called out some of the big things, everything from the beginning of a building of a new e-fulfillment center to the implementation of tools inside our stores to make order fulfillment more efficient and less expensive and improve speed. So those are the two lines that we're focused on. Michelle is kind of overseeing the buying and planning review, and Sona is very much involved in ensuring that we're leveraging on the fulfillment side. I don't know, Wes, if you want to add anything?
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah. I mean we learned a lot with the increased volume. I think either Kevin or I mentioned it was 30% of our digital volume in the fourth quarter. We're getting our logistics team involved in working with the stores and spending additional capital to better configure the backroom to make it more efficient to ship. So we're looking for a 50% improvement in UPH in the ship-from-store shipping channel next year. And we're also spending a lot more time and money. The key for us with our low AURs and our relatively low average order value online is to keep the package together. And so we're spending a lot of time and technology in making our systems better to do that. So, those will be key for us to be more efficient. From a rate perspective, our rates with UPS and FedEx and the Postal Service are as competitive out there. We're going to do probably $3 billion of digitally generated business in 2016. So, I don't think we're at a disadvantage from a rate perspective. We do have to do a better job of keeping the order together.
Bob S. Drbul - Nomura Securities International, Inc.: Right. Thank you very much.
Kevin Mansell - Chairman, President & Chief Executive Officer: Thanks Bob.
Operator: Our next question comes from the line of Paul Trussell from Deutsche Bank. Please go ahead.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Hey, good morning, Wes and Kevin.
Kevin Mansell - Chairman, President & Chief Executive Officer: Good morning.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Wes, I believe you said the national brands in 4Q were about 58% of sales, up from 52%. Could you maybe just touch on some of the initiatives you have on both the private label and the national brand side in 2016, and maybe how you might expect that to impact the mix going forward? And then just as a follow-up to that, could you touch on maybe some of the category color, a little bit more detail on how you're feeling about the juniors category, women's apparel, athletic and small electrics? Thanks.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Okay. I can take the category real quick. You mentioned all of our good categories, so thank you for that. Juniors had a positive comp for both the quarter and for the season. So that business has really turned it around. And they've done it the way I'd like to see all of our merchants do it. They've cut their inventory and grew their comps. So it is possible to do both. Active continues to do very, very well led by Nike, but there's other guys participating in that success as well. I would say premium electronics did much better than kitchen electrics. Kitchen electrics was a little tough in the fourth quarter, but we're growing that premium electronics area. And I would include things like active and wellness initiatives. So things like Fitbit would be included in that category as well. And then I'll let Kev talk about some of the – we have a lot of new initiatives from a private brand perspective that we're very excited about.
Kevin Mansell - Chairman, President & Chief Executive Officer: I think generally, I would expect that both our national and private brand portfolios have the opportunity to perform more relatively equally beginning this year. Last year was definitely a year in which we dramatically made investments in some of our national brands. As you know, one that you called out was our Active and Wellness category which was extremely successful. And I continue to see growth there, and we are still expecting to grow the business. But we also know that we need to have a good balance. And so what we've been working on, Paul, is to really reimagine and change the way we go about delivering our private and exclusive brands with an eye towards increased speed and shortened delivery times because we know that that's the only way we're going to get really long-term improvement there. We're also targeting each of our – particularly large private brands for relaunches. And we're starting naturally with the biggest single private brand we have which is Sonoma. And Sonoma will be relaunched as a brand this year, and we do expect that that's going to rejuvenate that business in a meaningful way. So I think we're happy with the balance. We're not backing away at all on our intensity around national brands. We still believe that that's really critical for us to continue to both support the ones we have, whether they're big brands like Levi in denim or Nike in active, but also add new brands. So we're definitely focused on both the omnichannel and stores' considerations of where we could improve our brand portfolio.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah. I think there's a big opportunity from a digital channel perspective to better emphasize private and exclusive brands. We may have gotten a little ahead of our skis on emphasizing national brands because it's a good way for us to try out new national brand. It's low risk for both parties. And that's a much bigger share of the business online than it is in store. So, I think there's opportunities. And one of the advantages I think that Kevin mentioned of putting the merchants together is there can be a better balance of looking at the total picture versus just driving one particular channel.
Paul E. Trussell - Deutsche Bank Securities, Inc.: That's very helpful color. Thank you. A very quick follow-up on store closures. I think I believe you said that you will announce the actual locations by the end of March. Can you just clarify, and apologize if I missed it, when the actual store closings are likely to occur?
Kevin Mansell - Chairman, President & Chief Executive Officer: Probably in June, sometime in June.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Got it. All right. Helpful. Thank you, guys.
Operator: The next question comes from the line of Mark Altschwager of Robert W. Baird. Please go ahead.
Mark R. Altschwager - Robert W. Baird & Co., Inc. (Broker): Good morning. And thanks for taking the question. I was hoping you could talk a bit more about how the various revenue components of your growth agenda have been evolving. Obviously, the revenue is running below your targeted rate and new store concepts have become a bigger part of the conversation. So just trying to get a better sense of where you see the greatest opportunity for product and marketing initiatives to move the needle in 2016?
Kevin Mansell - Chairman, President & Chief Executive Officer: I think generally honestly, Mark, our focus is around our existing store portfolio. That's where the improvement has to come from. And as we both have alluded to, utilizing the growth in online demand, the embracing that customers have done around our digital platform more effectively by leveraging our store base and our store inventory, is really the critical component that we need to improve on. And that has a lot of elements to it that we're focused on, everything from leveraging the inventory to improving the effectiveness in which we fulfill the orders, and as Wes pointed out, making technology drive better decisions in terms of where orders are fulfilled across the platform. So, our focus is definitely on our existing store platform. But having said that, we don't want to back down from looking at new ideas that might enhance the future for Kohl's. So, I still believe that the 35,000 square foot pilot stores that we're launching could be, long term, really important for us because they're a nod to the fact that more and more of our business is being online, and while it's fulfilled in store either through ship from store or pick up in store, that customer is starting out online. And if we can find a way to have smaller stores that are effective and still provide that platform, it just gives us a great opportunity as we look down the road in a few years.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, I mean, if you're just talking about comp metrics, our ability to outperform the flat to 1% is going to be predicated on our ability to improve traffic from the roughly flat that it was this year. So, I continue to believe our average unit retail will be up. It was up for the year. It was somewhat muted in the fourth quarter just due to the extreme promotional nature of the business, especially in our cold-weather merchandise as we had to liquidate merchandise. But for us to exceed the guidance that we gave, we're going to have to get traffic moving into a slightly positive direction.
Mark R. Altschwager - Robert W. Baird & Co., Inc. (Broker): That's very helpful. Thank you.
Operator: And the next question comes from the line of Oliver Chen from Cowen & Company. Please go ahead.
Oliver Chen - Cowen and Comapny: Hi. Thank you. Kevin, on the reorganization regarding speed, what's the lower hanging fruit there? And can you brief us on lead times now versus where you may want to go, and how this may impact the merch margins? It sounds like integrated inventory is a nice opportunity. And Wes, on the 30% regarding utilizing your store network and the integration of bricks and clicks, do you think that that number will continue to rise? And was there a breakout between the mix of ship from store versus picked up? And I think if you could highlight the frontier in terms of mobile and mobile traffic, because we think that will continue to be a huge, important piece of interactivity from the customers. Thank you.
Kevin Mansell - Chairman, President & Chief Executive Officer: Okay. I'll take the first, but you got a lot of questions...
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Way more than one question. Good thing you didn't breathe a lot, so...
Kevin Mansell - Chairman, President & Chief Executive Officer: Nice job, Oliver. On the reorganization, there's component parts to it, right? The first and most important part is we recognize that while the structure we had was right for the time we had it, we need a different view looking forward that reflects the way the customer looks at our business. And the customer looks at our business through one lens. It's seamless, it's omnichannel, and therefore, that's how we have to make our decisions. And so, the buying and planning decisions that we'll make will be predicated on one view, and that's the customers' view. So that's got opportunity for us I because I think it will make us more sensitive to assortment sizes, it'll make us more sensitive to leveraging the inventory that we have in our existing brick-and-mortar organization. The second, though, really important component, which you hit on, is really speed. And we probably would say that the biggest opportunity we have on speed is naturally inside our private and exclusive brand organization. It's half of our business. We work on longer lead times generally, and we've had success in some areas. Juniors is a great example of really driving down that cycle time and getting better top-line results and more effective inventory turnover. And so employing some of those ideas into our other business is what we're focused on now. And I wouldn't want to go through with you each and every brand and what the lead time is today and what our goals are. And to be frank with you, in each and every brand, we probably don't have a completely clear vision on that. But we definitely want to bring it way, way down. So I think on the speed initiative, it's probably more about the private and exclusive brands.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, and then your questions on digital, I think the breakout was more like 25% ship from store, 5% buy online, pick up in store. I would expect over the next few years, the buy online pick up in store to at least double to 10%. It's possible it could get to 15%. That's sort of been a relatively common target for other retailers in our business. We've learned that you can't market it all the time. It was critical we got good adoption, obviously, the last few days before Christmas Eve. It's a good thing to do around Valentine's Day, Mother's Day, Father's Day for last-minute kind of things as people pick up gifts for that. So I think we'll learn more throughout the year now that the capability is well understood and well launched for us. And then all the traffic really came from mobile, the increases this year. You're right to think that's where it's going to come from. I think I'm most proud of the fact that our overall conversion rate for the year approached 4% for all devices, but our conversion rate on the phone, which is a lot lower than desktop and tablet, improved 59%. So, our investments in improving the app especially was definitely well received by the customer. I think Kevin mentioned there is 11 million downloads of our app and growing, so that's a big portion of our IT investment going forward as well.
Oliver Chen - Cowen and Comapny: Okay. Thank you. That's super helpful. And Kevin, just lastly, personalization. I feel like this has been a topic that's come up in different ways in the past, but now seems like the right time for this being material. Can you articulate why you have conviction that personalization will really be a frontier which can drive results now?
Kevin Mansell - Chairman, President & Chief Executive Officer: Well, I think the reason we're more and more convicted on this is that we've now had enough time under our belt in testing the impact of personalization across a wide variety of media platforms, everything from the utilization and conversion, opening and conversion of our emails, to the delivery of our direct mail vehicles, to the utilization that customers have around our app, which is of course highly personalized. So I think what's driving probably the stronger language about the critical nature of personalization to improving sales productivity on our advertising expense is we now have a pretty long track record of the testing and the piloting. We have to convert that now. We have to scale it and we have to apply it to every single platform we have because that to us is going to be the long-term success. It's not that unlike the localization initiatives importance to our inventory management. While we know we've got to drive down inventory per store and utilize our store inventory to help fulfill this growing online demand, we also know the most important thing we have to do is provide more localized assortments that are more attractive to the customers in the trade areas in which the stores sit.. So personalization is the most important thing that we have as a tool to drive advertising expense down over time. And given it's our second biggest expense center that's a pretty important initiative.
Oliver Chen - Cowen and Comapny: Okay. That's perfect. Thanks for that, and great job on all that innovation. Thanks.
Kevin Mansell - Chairman, President & Chief Executive Officer: Thanks.
Operator: And our next question comes from the line of Paul Lejuez from Citigroup. Please go ahead.
Tracy Kogan - Citigroup Global Markets, Inc. (Broker): Hi. Hey, thanks, guys. It's Tracy filling in for Paul. I had a question about credit. I was wondering if you've seen any change in the quality of your portfolio or like a rise in delinquencies? And what are you expecting for credit income in 2016? And then just a quick follow up on that small store format, I'm just wondering what the key areas are that you expect you'll be reducing in size in that store? Thanks.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: We haven't seen any deterioration. Our loss rate for the year was exactly the same as last year at 3.7%. I would expect our credit income to rise modestly predicated on how successful we are at adding people to the credit file. This past year we focused a lot on loyalty and not as much on credit, and our applications were a little bit down to last year. But I would expect as we've anniversaried loyalty and we saw this in the fourth quarter, our approved applications were actually up. So that gives me confidence that we'll grow our credit file in 2016. And then the small store question?
Kevin Mansell - Chairman, President & Chief Executive Officer: I think categories that will be downsized or maintained. I mean, I think generally – we haven't disclosed, Tracy, the specifics around the small stores either in terms of their locations or the category assortments that'll be inside the store. I would say generally though the way you should think about it is the broad-based categories that are contained inside of a Kohl's store will be represented in the new stores as well, but categories that have exhibited a very high level of digital demand will probably have further reductions in their space and assortment than other categories because our sense is that we can fulfill much of that in a digital way inside the store.
Tracy Kogan - Citigroup Global Markets, Inc. (Broker): Got it. Thanks a lot, guys.
Kevin Mansell - Chairman, President & Chief Executive Officer: Thanks.
Operator: And the next question comes from the line of Neely Tamminga of Piper Jaffray. Please go ahead.
Kayla R. Wesser - Piper Jaffray & Co (Broker): Great. Good morning. This is Kayla Wesser on for Neely this morning. Just two quick questions. One about loyalty. I know you mentioned that they spent a lot more in the quarter. I'm just curious if you could give any more color on the bounce-backs, maybe in post-holiday especially if you saw the visits – return visits or the spend that you were expecting maybe outside of the winter impacted areas? And then also just, buy online pick up in store, where are the attachment rates trending, and they're kind of where you guys expected them? Thanks.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, on the buy online pick up in store, that's an easy one. On average, it's been about 25%, it was actually more during holiday. On loyalty, we obviously had a lot more dollars since we had a lot more customers bounce-back in January, we did see a slight deterioration in the response rate. One thing I probably made a mistake on is when you double the size of your file, not everybody loves Kohl's equally, and as you add the later adopters to loyalty, they're not going to respond as quickly. So that's some learning, we'll do a better job of planning in 2016 because of that.
Kayla R. Wesser - Piper Jaffray & Co (Broker): Thanks.
Operator: And the next question comes from the line of Michael Binetti of UBS. Please go ahead.
Michael Binetti - UBS Securities LLC: Hey, guys. Good morning. I just wanted to – Wes, a couple of questions for the CFO, off this year maybe. I want to make sure I understand the D&A with the step change higher, and CapEx, and then I know some of the investments have been in IT, which I would've thought would've had a faster amortization cycle to them. I think you guys talked about that. And I know you mentioned maybe some of the store closures have a D&A component. But maybe you could just help me think about the push and pull on the D&A going down next year a little bit closer?
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Well, most of it's because $7 million comes out because of the store closures.
Michael Binetti - UBS Securities LLC: And the others aren't enough to override that I guess, huh?
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Well, we spent – last year, we spent $934 million, what'd I say, $940 million for this year. So it's a little bit of a rise. And we've been spending a boatload of money on IT for a number of years, so we're starting to cycle through that. The average life of an IT project ranges from three years to five years, but I would say more and more we're using three years just because the innovation is so – the cycle is so short.
Michael Binetti - UBS Securities LLC: Okay. And then I understand the comments, thanks for the comments on looking at the leverage point for the future, Kevin. I wanted to make sure I understand the components of the SG&A guidance for 2016. And I know you just said you're planning credit up as an offset, but in the past, you said 2% SG&A growth, and this year, a touch below that. If I had to think about the buckets, you'll have healthcare and wages going up in the stores. Can you just help us understand the remainder of – where the remainder of the cost control to come in below that 2% target you had before? If it's between corporate overhead, ad spend and the credit you mentioned versus the store level costs?
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Well, from my perspective, again, the store closures help them. We said it was $44 million or $45 million. So you can take a portion of that for the year depending on when we close the store in June. And that's embedded in the guidance. Store payroll is going to grow. We're seeing the wage pressure. We're not immune to it. Other people have reported, said it's a pressure. In this quarter, it's going to be a pressure. This year, it's more than a third of our overall SG&A, so that's going up. I think we can be more efficient, like I mentioned in ship-from-store and BOPUS. That will help mitigate that. We actually experienced healthcare deflation this year. We had a tremendous year in terms of that, knock on wood. We were lucky we didn't have a ton of large claims which can really swing it one way or the other. But we've made a lot of plan changes and wellness initiatives. We have a relatively young population that helps as well. But we're going to cut advertising. I think Bob asked, we spent $1.11 billion this year. We wanted to spend $1 billion. The goal is to spend $1 billion this year. So maybe we'll spend even a little bit less than that. We can get more efficient in the e-commerce fulfillment centers, and we're going to get more efficient in corporate with the reorganization that we had. We have to be smarter about when positions open up, not filling them and just increasing speed across the organization. I think that will be a big help. But those are the buckets we're going to try to do to offset. IT expense is also going to go up. I mean, we're spending a bunch of money in IT, so IT in stores are going up. Everything else pretty much has to go down somehow.
Kevin Mansell - Chairman, President & Chief Executive Officer: Yeah. I mean the 35% to 40% of our expense that is essentially store payroll, that's going up. So we're planning it to go up, that's just a fact. Things like the reorganization, things across the company in the other 65% we've been working on. This is not something we're starting last week. We've been working on reducing those forward-looking expenses. And one of the things that's going to be a big component part of that that we sort of alluded to, but I think honestly has a big impact, is lower inventory level. Lower inventory level is less material handling, it's less distribution expense, it's significantly less workload in the store, and that has a big impact in a positive way on store payroll. So our average hourly wage is going up. But if we're putting a lot less inventory in the store, there's a lot less work to do on the store's part to handle it.
Michael Binetti - UBS Securities LLC: Just because it's critical – sorry, just because the fourth quarter is so important, and I know you guys were rethinking advertising as you went through fourth quarter last year, is advertising planned up in the fourth quarter this year?
Kevin Mansell - Chairman, President & Chief Executive Officer: We haven't gotten that far to that quarter.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah, we planned the fall season, but I mean there's not a Star Wars movie to my knowledge, so we won't have to spend money on that.
Kevin Mansell - Chairman, President & Chief Executive Officer: I mean, honestly, I wouldn't think of – I think Wes just said we spent $1.11 billion or $1.12 billion in marketing this past year. I wouldn't think about – I wouldn't take away from this discussion, hey, they're going to dramatically lower the amount of marketing they spend. We're talking about on the edges. We're talking about reducing it by $10 million on a $1 billion base. The more important thing for us that we just touched on with a caller or two ago is we've got to make that $1 billion work harder through personalization. That's really the win and then the other things become savings.
Michael Binetti - UBS Securities LLC: Thanks a lot, guys.
Operator: Our last question comes from the line of Stephen Grambling of Goldman Sachs. Please go ahead.
Stephen Grambling - Goldman Sachs & Co.: Hey. Good morning. Thanks for sneaking me in.
Kevin Mansell - Chairman, President & Chief Executive Officer: No problem.
Stephen Grambling - Goldman Sachs & Co.: As you think about your ongoing clearance and what seems to be something that's going on across the space, can you provide any color on how much of these margin pressures are driven by cyclical or seasonal issues versus something structural such as increasing price transparency particularly with the growth in mobile?
Kevin Mansell - Chairman, President & Chief Executive Officer: This is all about liquidating.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: This is all about cold weather merchandise.
Kevin Mansell - Chairman, President & Chief Executive Officer: Yeah. This is all about liquidating and getting out of our holiday cold weather inventories through the early part of the first quarter and repositioning our inventories at a lower level going forward.
Stephen Grambling - Goldman Sachs & Co.: Fair enough. And then as a follow-up to I believe Matt's question earlier on store closings, how does the performance of the remaining base of stores look? Specifically, is there a wide range or is it fairly tight?
Kevin Mansell - Chairman, President & Chief Executive Officer: I mean, it's always been relatively fairly tight. What happens is regionally each quarter, I hate to use the word weather, but the facts are weather can positively influence a quarter's results in a region and negatively influence another quarter's results. So the West Coast got better results because they had better weather. And the Midwest or Mid-Atlantic got lower results. But the spectrum across from a store comp perspective, I mean, it's not like there's a dramatic difference in sales.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: Yeah. The sales – the comp sales really aren't driving the closure decisions. It's really about the fixed cost and our ability to manage the other lines of expenses to make them more positive. And then the biggest thing that changed honestly in the first quarter is our digital orders grew 30% on a very large base.
Kevin Mansell - Chairman, President & Chief Executive Officer: In the fourth quarter.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: In the fourth quarter, sorry. And that was something that was unexpected. We far exceeded our plan on digital for the fourth quarter, so that was really sort of the ah-ha moment if you want to say that about how to take a look at the store base with a more critical eye.
Stephen Grambling - Goldman Sachs & Co.: That's helpful. And one last one if I may. It's just on the smaller format stores. Are some of these, I know you're not announcing explicitly where they're going to be, but are some of these going to be in the markets where you are closing? And is that part of the thought process that you could potentially downsize some of the existing base?
Kevin Mansell - Chairman, President & Chief Executive Officer: They're not in the markets in which we are closing.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: But that's a good thought.
Kevin Mansell - Chairman, President & Chief Executive Officer: And frankly we did that intentionally because we didn't want to make the results of these stores driven by anything else that was happening in that market. But having said that, I still think the biggest opportunity for the small store pilot will be as we review our overall store portfolio, as leases become up over time, if we're able to prove successful in this much smaller store and leverage the digital growth in our business, I think that could be a major change for us in terms of our expense structure and our fixed costs, as Wes just alluded to.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: And it doesn't have to be 35,000 square foot stores. We have plenty of 64,000 square foot stores and 55,000 square foot stores, so it's more about having the toolbox to better right size the store base as we move forward.
Stephen Grambling - Goldman Sachs & Co.: Thanks again. Best of luck this year.
Wesley S. McDonald - CFO, Senior Executive VP & Head-Investor Relations: All right. Thank you. Thanks, everybody.